Operator: Thank you for standing by. Hello, and welcome to the Business First Bancshares Q2 2025 Earnings Conference Call. Please note that this call is being recorded. I would now like to turn the call over to Matt Sealy, Senior Vice President, Director of Corporate Strategy and FP&A. Please go ahead, sir.
Matthew Sealy: Thank you. Good morning, and thank you all for joining. Earlier today, we issued our second quarter 2025 earnings press release, a copy of which is available on our website along with the slide presentation that we will reference during today's call. Please refer to Slide 3 of our presentation, which includes our safe harbor statements regarding forward-looking statements and the use of non-GAAP financial measures. For those of you joining by phone, please note the slide presentation is available on our website at www.b1bank.com. Please also note our safe harbor statements are available on Page 7 of our earnings press release that was filed with the SEC today. All comments made during today's call are subject to the safe harbor statements in our slide presentation and earnings release. I'm joined this morning by Business First Banchares Chairman and CEO, Jude Melville; Chief Financial Officer, Greg Robertson; Chief Banking Officer, Phil Jordan and President of b1BANK, Jerry Vascocu. After the presentation, we'll be happy to address any questions you may have. And with that, I'll turn it over to you, Jude.
David R. Melville: Okay. Thanks, Matt. Good morning, and thanks, as always, to everyone for prioritizing this call. I know you have plenty to do on a Monday morning, and we appreciate you participating with us. I'd like to start by explaining that we chose a later the normal release date out of an abundance of caution, given the core system conversion we conducted over the past few weeks, wanting to err on the side of giving our team ample time to close out the quarter, we were successful. And going forward, I expect we will revert to our normal release date in time. Four things I'd like to highlight before I turn it over to Greg to offer a more detailed analysis of our performance. First, the quarter was successful today. We again posted 1% ROAA earnings, but maintained our net interest margin. We increased our capital levels. As well as increasing our tangible book value by almost 15% any loss. These have been our primary goals over the past few quarters, and we're pleased to accomplish them despite an extra busy quarter. We also originated phones at a healthy pace even while continuing to decrease our C&D concentration levels as well as improving the makeup of our funding base, growing noninterest-bearing accounts quarter-over-quarter. Second, the quarter was successful operationally. We embarked 2 years ago on a project to upgrade our core processing system to IPS, the FIS large bank platform and after thousands of man hours in preparation and then an action pack Memorial Day weekend, executed successfully, positioning ourselves for more efficient processing for the foreseeable future. We're excited about this partnership and believe it will lead to a more efficient organic and inorganic or operational effectiveness. We also continue to work on our cultivating our branch footprint, teaming with a local community bank in the sale of one of our legacy branches. We're proud to again deliver on a win-win proposition for the local market and our local employees, leaving them in secure hands while we position our broader footprint for future operational savings approaching $750,000 a year. These operational decisions require significant work to execute by large numbers of our teammates, and I'm proud of the way they've done so. Third, we announced a partnership with Progressive Bank, a $750 million community bank in the North Louisiana area of our footprint. We've known the team at Progressive for many years and have felt for some time that they have made good partners. I'm very proud that they chose to join with us on this next stage of our journey. They have excellent asset quality, strong long-term client relationships and a team that will fit in day 1 with in the B1 culture. Between continued integration of the Oakwood Bank footprint, with conversion scheduled for late in the third quarter and incorporation of Progressive with the projected close of the first of the new year. We entered 2026, projecting meaningful upside earnings accretion added by our fruitful M&A activity. Fourth, though our asset quality metrics trended negatively during the quarter. That's partly a function of successful work navigating through the process on a handful of relationships that have been previously identified. We've not been identifying new relationships through which we have to work, experiencing a decline in our watch list over the past 2 quarters. We believe we are adequately reserved against the nonperforming relationships and all borrowers continue to work with us towards resolution. And while we don't expect we won't suffer any losses over the remainder of the year as we bring the subject credits to their conclusion. The quarter as with most all our recent quarters, exhibited exemplary net charge-offs at 0.01%. We are preparing to enter 2026 with a stronger balance sheet as positive a go-forward P&L opportunity has diversified geographic footprint and as much operational capacity, I can remember during my time as CEO, and I'm excited to see our team continue to perform. With that, I'll turn it over to Greg. Thanks again.
Gregory Robertson: Thank you, Jude, and good morning, everyone. As always, I'll spend a few minutes reviewing our results, and we'll discuss our updated outlook before we open up for Q&A. Second quarter GAAP net income and EPS available to common shareholders was $20.8 million and $0.70 and included a $3.36 million gain on the sale of a branch, which we closed April 4. GAAP results included a $570,000 acquisition-related expense and $1 million core conversion expense. Excluding these noncore items, non-GAAP core net income and EPS available to common shareholders was $19.5 million and $0.66 per share. From our perspective, second quarter results marked another solid quarter with consistent profitability, generating a one-on- one core ROAA. From a corporate perspective, we were active during the quarter with successful core conversion, which occurred over Memorial Day weekend. We also sold 1 location in South Louisiana, in early April, as Jude mentioned, and finally announced the acquisition of North Louisiana-based Progressive Bank. The actual merger announcement occurred earlier this month, however, we were obviously busy in the months leading up to the announcement. Starting with the balance sheet. Total loans held for investment increased 4.5% annualized on a linked-quarter basis, up $66.7 million from Q1. Scheduled and nonscheduled paydowns and payoffs slowed somewhat during the second quarter, totaling $365 million, while new loan production was $432 million during the quarter. Loan growth was driven primarily by C&I and CRE, which increased $98.8 million and $61.6 million from the linked quarter. This growth was partially offset by decreases in construction and residential of $33.4 million and $54.5 million, respectively. Based on unpaid principal balances, texted based loans remain relatively flat at approximately 40% of the overall loan portfolio as of June 30. Total deposits decreased $38.5 million, mostly due to a net decrease in interest-bearing deposits of $140.9 million on a linked-quarter basis. The net decline was primarily driven by withdrawals from financial institution accounts and the branch sale earlier quarter that we mentioned. The decline in our interest-bearing deposits during the quarter was somewhat strategic in nature as the weighted average cost of these outflows averaged 4.45% and was replaced with more efficient source of brokerage CDs and deposits. Excluding the $50.7 million in deposits transferred from the branch sale during the quarter, net deposit growth would have been $12.1 million for the linked quarter. I think it's worth noting, this includes bringing on to the balance sheet and replacing over $100 million in high-cost deposit balances with the Oakwood acquisition that we previously mentioned as our strategy. Net interest-bearing deposits increased -- noninterest-bearing deposits, excuse me, increased $102 million or 7.8% on a linked quarter basis, driven by a smart short-term inflow of approximately $60 million, which subsequently withdrawn after the quarter end. Lastly on the funding side of the balance sheet, bank borrowings increased $179 million from the prior quarter or approximately 41%. The large increase was due primarily to an increase in short-term FHLB inventions, which was utilized at quarter end to facilitate the transition of our correspondent banking relationship, which was aligned with our core conversion. Moving on to the margin. Our GAAP reported second quarter net interest margin remained unchanged in the linked quarter at 3.68%. While the non-GAAP core net interest margin, excluding purchase accounting accretion, also remained unchanged from the prior quarter at 3.64%. Interest-earning asset growth during the second quarter was offset by excess funding utilized during the core conversion and incremental funding to replace the deposits transferred in the branch sale. The lower cost deposits divested from our branch sale equated to approximately 2 basis points drag in the second quarter margin. Additionally, the excess liquidity carried during the second quarter accounted for about 3 bps drag on the margin. We expect going forward to continue to maintain somewhat elevated liquidity levels, at least in the near term, assuming no rate cuts over the next 2 quarters, we would expect deposit costs to remain relatively flat in the near term, but we will be affected by our ability to retain and attract lower cost noninterest-bearing deposit accounts. We are pleased with our ability to manage our deposit rates, total interest-bearing deposit cost declined 4 basis points from the linked quarter, highlighted by a 26 basis point quarter-over-quarter reduction in overall cost of money market deposits and a 17 basis point reduction in overall cost of time deposits, notably, the weighted average total cost of deposits for the first quarter 2.64%, down 6 basis points from the linked quarter, while June weighted average cost of total deposits was 2.62%. With further improvements in funding costs are subject to the Fed's interest rate decisions, we remain encouraged by this trajectory. I'd like to make note of a few takeaways to slide on Page 22 in our investment presentation. We continue to see 45% through 55% of overall deposit betas as achievable regarding rate cuts. I would also like to point out our overall core CD balance retention rate was 96% during June. This impressive statistics reflects on our team's continued focus on maintaining and retaining core deposit relationships. As you would see on these 23, we have approximately $2.8 billion in floating rate loans approximately at 7.56% weighted average rate, but also have approximately $611 million fixed rate loans maturing over the next 12 months at a weighted average of 6.18%, which we would expect to reprice in the mid-7% range. Last thing I would add is our expectations for loan discount accretion to average approximately $750,000 to $800,000 per quarter going forward. Moving on to the income statement. GAAP noninterest expense was $51.2 million and included $570,000 of acquisition-related expense and $1 million conversion-related expense. Core noninterest expense for the quarter of $49.6 million was relatively unchanged from the linked quarter. We do expect a modest increase in Q3 in the core expense base, primarily due to the timing of various investments hitting in Q3 and Q4. However, we should start seeing partial quarter impact of the Oakwood cost savings after the conversion in the fourth quarter. Second quarter GAAP and core noninterest income was $14.4 million and $11.1 million, respectively. GAAP results did include the $3.36 million gain on the branch sale that we mentioned previously and $47,000 loss on the sale of securities. Noninterest income results for the quarter -- second quarter were relatively in line with our expectations, however, I would like to mention our SBIC pass- through income of a negative $246,000 during the quarter was approximately $500,000 lower than what we had expected. This particular component of fee income can be difficult to predict. However, we would expect some normalization going forward. Over the long run, we continue to expect an upward trend in our core noninterest income although the trajectory may be bumpy as we mentioned from quarter-to-quarter. Lastly, I'd like to provide some context of the credit migration during the second quarter. Q2 NPLs increased 0.28% from 0.69% in Q1, 0.97% in Q2. With the increase driven by negative migration of 3 separate loan relationships rerenting total outstanding principal balances of $23.7 million. Annualized net charge-offs decreased from 0.2% -- 0.02% from 0.07% in Q1 to 0.05% in Q2. Of the 3 previously mentioned credits, we are 34% reserved on 1 credit, 14% reserved on the other and adequately reserved on the final third credit. We expect to find a resolution on these credits during the third and fourth quarter of the year with the reserve on the one that has 34% possibly settled in next year. That concludes my prepared remarks. I'll hand the call back over to you, Jude, for anything you'd like to add before opening up for Q&A.
David R. Melville: Good. Thanks, Greg. I don't have anything to add. Yes, why don't we jump into questions.
Operator: [Operator Instructions]. Our first question comes from the line of Feddie Strickland from Hovde Group.
Feddie Justin Strickland: I wanted to drill down on the excess liquidity piece related to the core conversion. I guess the first way I read that was that maybe that go away. But Greg, it sounds like in your prepared comments, you're going to hang on to that excess liquidity for a little bit longer?
Gregory Robertson: Yes. Good question. What we we're using liquidity for in the core conversion as we were transferring from a correspondent bank that we've used for a while to direct to fed relationship. So during that process, where we're clearing in 2 different places. So we needed the additional liquidity. I think we'll continue to carry some of that liquidity as we go forward until we get past the core conversion with the Oakwood franchise because we're helping them manage their balance sheet in real time, too. So having that additional liquidity, which we kind of had all year long, it's partly been for the conversion, specifically in the second quarter, but also now we're looking at Oakwood's conversion until we get beyond that and just handling everything on 1 balance sheet, so to speak. We feel that's the right thing to do.
Feddie Justin Strickland: Got it. That's helpful. And just so I understand the credit moves this quarter, this was simply a migration from substandard nonaccrual and you mostly reserved for this, what it sounds like, given some of your prepared comments?
Gregory Robertson: Yes. The 1 credit was on their last quarter. I think we moved it to nonaccrual last quarter. We have, like we mentioned, about a 35% reserve on that credit. It's a C&I relationship where we're continuing to evaluate the collateral on that. So that's kind of a moving through the process of our trying to get the resolution with that has been cooperative on that one. The other 2 more recent moves is -- one of them is a commercial real estate piece. The other is only occupied piece. The commercial real estate piece, we put up $1.6 million reserve on it, we move through resolution for that one and then the owner-occupied piece, we're very close to resolution on that one. So I think we're just -- those are moving at different paces, but we think we're -- from what the information we have right now, we think for the risk we have, we kind of reserve where we think is appropriate. And we'll continue to move toward resolution.
David R. Melville: And I'll just emphasize that none of those are surprises. We're just kind of working its way through the system over the course of the year. With each step, you label it something different and it doesn't necessarily change the underlying risk parameters. So feel good about the progress on working our way through that. And as Greg said, we're benefiting from good client communication and we're working towards resolution together as opposed to bank being any stand off. And so as a bank, that's what you hope for when you have an issue of that you can work with your borrower to get to a good resolution and we feel like those things are happening.
Feddie Justin Strickland: One follow-up on that. I mean, all else equal, given you feel like you're close to getting resolution on these. I mean, could we see NPAs probably drop some in the back half of the year, all else equal?
Gregory Robertson: I think if those 3 credits are 50% of NPLs. So I think as they start resolving or we get to resolution I think the number will start dropping. The most immediate resolution is the smaller one. It's about $4.5 million of the $23.7 million, and that one is imminent. And then as we work through the other 2. And I think you'll see those numbers dropped pretty significantly, and that would be back to where we've operated over the last 8 quarters, let's just say. I don't know, that's a third quarter thing, I mean, hopefully, the direction moves correctly, but it's kind of through the rest of the year forecast. These things take a while even if you're working together.
Operator: Our next question comes from the line of Michael Rose from Raymond James.
Michael Edward Rose: Just wanted to start on just wanted to start on the expense outlook, looks like you were basically flattish quarter-on-quarter on an operating basis. Obviously, you have the systems conversion with Oakwood here coming up cost savings realization. So just trying to get a sense for that $49.6 million this quarter. How should we think about the next quarter or 2 from a progression point of view? I know there's lots of moving pieces, and you guys have been pretty busy behind the scenes with the FIS conversion and soon to be the Oakwood conversion?
Gregory Robertson: I think we manage good from an expense standpoint, managed to a good spot in the second quarter with a lot of activity going on. I think in the third quarter, some of our expected investments, you'll probably see that shift up into the low $50 million range. And I do want to remind in the fourth quarter, we're set to close or convert the Oakwood franchise on September 20, so the weekend of September 27. So that effectively, the way we usually schedule those as we will only pick up a couple of months of the impact of any kind of cost saves in the fourth quarter. So I would think for the remainder of Q3 specifically, it would be in the low $50 million range is what we expect for the run rate.
Michael Edward Rose: All right. And then it sounds like a little bit higher in the fourth quarter. All right. Appreciate it. And then maybe just going to the margin, certainly, I understand the excess liquidity and the other impacts. But is it fair that we should -- I know you're going to hold some of the excess liquidity. So as we're thinking about the core margin, would it have a little bit upward trajectory from here? I know there's some puts and takes, just obviously with -- I think loan yields were down Q-on-Q, but you did have some deposit costs come down as well. So just trying to get a kind of a starting point for the margin and how the asset sensitivity could change with the progress deal as we think about next year?
Gregory Robertson: Yes. I think the way we think about margin from here on out is really for the balance of the remainder of the year. So we think we can improve margin, as I say, in the 4 to 6 basis points range from here on out for the rest of the year. Now I think it's probably going to trend to maybe be flatter in Q3 and up in Q4. But the timing of that is going to be a little bit tricky based on how we handle the excess liquidity and the deals on the fixed rate maturities that are coming due and the timing of which some of those price up. So we think that we'll have margin improvement for the rest of the year. The timing of that may be a little tricky as we move forward.
Michael Edward Rose: Okay. Great. Maybe just one last one, if I could. The loan growth was about 4% -- 4.5% annualized this quarter. I know you previously talked about kind of low single digits. Obviously, the industry, we're seeing better pull-through rates and a little bit more optimism. Can you just talk about kind of the puts and takes to that prior outlook? I mean it seems like it should be at least modestly improved just given the backdrop that we're seeing, but would just love to hear from your perspective how we should think about growth in the nearer term.
Gregory Robertson: Yes. I think we think that the mid-single-digit growth for the rest of the year is we're having -- starting to have -- as you mentioned, we're starting to have more requests the pipeline is building. But I think from our standpoint, the tangible book value growth and the capital accretion that we've been experiencing with our financial performance we're going to maintain some discipline as we go forward and kind of stick to that plan. I think the other thing is we've made great strides on decreasing some of our concentration risk. And so we want to continue to be diversified. And that typically means trying to focus more on C&I growth, which -- and owner-occupied kind of stuff, which tend to be a little harder to get and a little smaller for a bank like ours. So I think the range that we've articulated previously kind of the mid- single digits, 4% to 6%, maybe we end up near the high end of that range versus the low end. But I don't think it's a fundamental shift in and where we end up growth-wise, partly because it's not just about growth, as Greg said, it's about or things to margins and tangible book value capital appreciation, concentration risk. And so we want to make sure that we're participating in the growth, but we want to do so in a way that at least to the best kind of incremental outcome for our shareholders. And we think that means balance. So I would say the range is still accurate. We just think we'll be at the higher end of the range as opposed to the lower end, which is a positive thing.
Operator: Our next question comes from the line of Matt Olney from Stephens.
Matthew Covington Olney: I want to go back to the discussion around the loan yields, and you made a lot of progress there over the last several quarters, but that momentum slowed this quarter. Just looking pretty more color on kind of what drove the softness in 2Q? And then as you look forward, any more commentary about expectations as far as repricing some of these fixed rate loans we've talked about over the last few quarters.
Gregory Robertson: Yes. I think what we saw, the balance or the average weighted rate as we stated in the 3.60% range. I think the spot rate at the end of June was more around 3.40% -- Excuse me, 7.40%. We feel our pricing deals in the mid- to low 7s. We think that that's -- obviously, you'd like to get as much yield as you could. But I think competition is driving some of that, and we won't be in the mix from a competitive standpoint. And so far, the deals that we're seeing price they're still holding up in the mid- to low 7s, on most of the deals we're looking at, and there's a few that we passed on because of pricing, but we feel like at this time, that's kind of where we want to be.
David R. Melville: And Matt, one thing that I'd add to is this is a readily available from the press release. But the breakdown within the loan portfolio quarter-over-quarter, we had deferred loan fees and our business manager factoring light product that we offer those fees that segment was lower to the tune of about $1 million quarter-over-quarter. And so that just all rolls up in the aggregate loan interest income. And so that's a little flavor for where some of that drag might be coming from. But by product type, C&I and CRE, those individual loan item categories were still up quarter-over-quarter.
Matthew Covington Olney: Okay. Thanks, Matt -- Greg and Matt. And then on the -- Greg, you mentioned I think in the prepared remarks, FHLB borrowings moved higher in the second quarter and remained elevated at quarter end. Will those also remain elevated in the near term, similar to your commentary about just overall liquidity in the next quarter or 2? Or have those already came down?
Gregory Robertson: So we use some of that from -- with the liquidity build that I mentioned. I think the reality is that we're going to continue to evaluate the best avenues of funding both in the near and the long term. And at this point -- at that point, the thing that made the most sense was the using utilization of the FHLB availability, that was all on the short end. I provide a little context to funding. We've talked about it on these calls or in meetings or since the announcement of the Oakwood acquisition that we were going to manage their balance sheet kind of in a systematic fashion of looking at higher price funding and moving that -- using our balance sheet or using other sources of funding to reposition that. And over -- since 12/31 of this year, we've been able to manage down or move away about $140 million of deposits that had a weighted average of about 5% or a little higher than that. We're using different funding sources to systematically kind of manage through that. And I would expect us to continue to do that for the back half of the year as well. So to answer your question, Greg, it could move up and down. I think from a quarter-over-quarter in a point in time, it may move, it may not move at all. from an optics standpoint, but that doesn't mean we're not moving it up and down intra-quarter to take advantage of some pricing opportunities.
Matthew Covington Olney: Okay. That's great context, Greg. And then my last question, just going back to the core conversion you guys did recently at the bank. Just any early feedback on that newer platform? And just remind us how much of that switch is a more of a near-term cost savings for the bank versus just longer-term savings, more efficient -- more efficiency around future growth?
David R. Melville: Yes. I think it's probably a little too early to have much of a judgment in terms of people's feelings about the new system, I think it just takes a little while to get used to it. And we had a very successful execution in terms of getting it done, the weekend of and -- there was a lot of preparation for that, obviously. And now we're in the -- let's get used to it base, which clearly change management takes a little while. And so it's too early to offer big-picture summation experience. But I think all the reasons that we chose to move to that system still hold true, and I think we'll end up being very excited about it. One of the things that -- one of the reasons that we move was that we feel like it better prepared us to take advantage of efficient growth in the future and still have every reason I think that's true. I don't know that we'll see a lot of savings immediately. Partly because we're making allowing us to make some other investments in technology. You know that we've talked quite a bit about preparing to be a $10 billion and making sure that we have the right systems to be able to report and to manage. And so the aggregate package is going to end up being similar in cost to costs we already have with our capability, not only on the core, but in other technological systems should be increased. But that, of course, is our decisions that will be out over the next couple of years. I do think that one of the advantages to the system is that not only should it make organic growth more efficient, but it also allows us to contemplate M&A activity with a little more aggression, which not that we haven't had a question before, given our track record, but you have the confidence that we can get on a calendar to be able to convert new partners is important and also the fact that we can, with assurance offer them a good core partnership as bankers think about partnering with other bankers, they think about their systems, and the system, I think, will get more confidence than the one that we had before. So a lot of reasons to embark upon it even absent a day 1 financial gain. We do you think that over time, there'll be a lot of financial benefits to being on the system. And again, it will take a few months to change management to get used to it. And that's not a bad thing, that's just part of it. And I look forward to in 2026, cycling through, and I think all of our employees and our clients will be appreciative of the change at that point.
Operator: Our next question comes from the line of Christopher Marinac from Janney Montgomery Scott.
Christopher William Marinac: I wanted to drill down on Smith Shellnut and just get a sense from you of kind of where do you think you are in the evolution of the business. I know it's made a lot of progress. It's got $6 billion of AUM. Just curious kind of where you think they are in terms of how much more that can go in the next 12 to 24 months.
David R. Melville: Yes. Good. Thanks, Chris. Appreciate that. And that is a part of our business that didn't get quite as much attention and partly because it hasn't been around as long. But it's part that we're very excited about and not just Smith Shellnut Wilson taken in isolation, but very excited about the correspondent banking function in general, and that's one of a handful of products that we're offering and to our client base, which is probably 120 banks who are doing business with us in some form or fashion today. I think when we bought SSW and began that process, they had about 40 banks, maybe 45. So we've been able to grow that ships and I don't see any reason that we won't be able to continue to grow that. I will say that I think growth can mean different things. And it doesn't just mean AUM, although we have been having over double the AUM SSW has over doubled the AUM since joining up with us. And we expect that we'll be able to continue to grow that number. But we're also focused on things that aren't AUM related, such as providing swabs for our client banks, which is beginning to generate some fee income. And SBA work, which again doesn't increase your AUM, but it does increase your fee income and I want to continue to -- we believe we'll continue to have opportunities to grow that part of the business. We've made some significant changes in personnel. So for the first time this year, we have a senior executive who is full-time job is to coordinate the multiple parts of our correspondent banking network. And I think we're feeling really good about the progress that he's making part of it is we've had a number of products that have run independently and they haven't really coordinated a lot in terms of their sales efforts. And so we're in the process of making sure that we have a unified sales effort. And I'll have to say, I think, as Greg says every quarter, and as I say, when I talk about it, I think it's going to be -- continue to be a little rocky in terms of the magnitude each quarter. But if you look at it over time, I think we expect to continue to grow that income in the next 12, 24 months albeit surprised if we don't double its impact by the end of that time period. We think that there's a lot of potential there. And lot of momentum building internally that doesn't quite show up in the numbers, particularly a little bit messed this time because if you just think about our fee income in general because of that SBIC drag, but the actual underlying growth in fee income relative to the correspondent banking function is moving in the right direction, and we feel excited about it.
Christopher William Marinac: Great. I appreciate it. And then just a quick capital question as it relates to kind of Progressive and kind of the data you shared a few days ago. So as we think about that 10%, 10.2%, excluding marks after Progressive. Is there a North Star on capital ratios that you look for as you think about organic growth plus any other external opportunities that come down the road?
Gregory Robertson: We think that by the end of this year, before we close the acquisition, TCE will be close to 8.50% total risk base close to 13.30%, $13.40% range. We think in those 2 ratios kind of the north store for us would be on a risk-based scenario somewhere in the 13.75% area. We think approaching 14% would probably give us enough capital to be opportunistic and ready to deploy the capital right way if the opportunity presents itself. I think on the TCE front, that's in the 9% range, low 9% range somewhere in that ballpark. Probably what we talk about being our normal over time or what we aspire to be.
David R. Melville: Yes, I would say, I certainly think that's the direction we want to move in over time, but we've also been operating at a level lower than that and still being able to take advantage of opportunities over the past couple of years in particular. So we certainly think there's an optimal level, but we also think there's a practical level and you kind of have to balance those 2. And so we don't feel like we have to put things on hold, not necessarily to get to 9% as long as we're doing the right things to increase incremental levels of income at the right pace, which, over time, ultimately generate a higher capital ratio and higher tangible book value ratio. So 9%, I like that number for kind of an aspirational goal, as Greg said, but I also don't think that we need to not take advantage of opportunities along the way as we've done a good job of over the past 2, 3 years when those levels have been -- were considerably lower, really pleased with the movement of things and that's partly some of these investments pay off.
Operator: Thanks, Chris. Our next question comes from the line of Manuel Navas from D.A. Davidson.
Manuel Antonio Navas: A lot of my questions have been asked and answered, but I just want to get a little more specific on the loan growth. Is that mid-single- digit guide just the back half of the year? Or is that 4% to 6% for the whole year? And talk about -- it seems like you're demanded here, but can you just talk about the sentiment on the borrower base as well?
Gregory Robertson: Yes. Well, I think I'll answer your first question. So we think that for the whole year, it's probably going to be in the low 4%, 4.5% range, just based on the production in the first quarter we still started. Slow start of the year dragging us down, but we think going forward from here, like Jude mentioned, it could be in the 4% to 6% looks like maybe trending towards the higher part of that range. On a run rate.
David R. Melville: On a run rate per quarter. And annualized per quarter.
Manuel Antonio Navas: Yes. That's really helpful. Is that your appetite? Or is it -- do you sense seeing an improved sentiment? Can you talk about that for a moment as well?
David R. Melville: I think it's a little bit of both. I mean we are in a little different position than we were a year ago in terms of our capital levels and kind of what we were talking about earlier, we want to continue to increase those levels, but we also feel like there's room to take advantage of opportunities. And so we want to be sure that we're selective when we do it, but we want to be sure we take advantage of our opportunities. And particularly, the downward transition that we made in our construction concentration levels over the past couple of years have really impacted our loan growth overtime. But then also they've put us in a better spot now. So we can do some more construction again, being selective and not getting back in a position where we feel like we have too much exposure, but we can kind of incrementally add, pick and choose where we add some exposure there, which we might not have felt as much flexibility to do so a year ago. So a little bit our own. I do think that just anecdotally, you definitely feeling like there's a little more activity out there in general. I think the year has been somewhat muted by just uncertainty around what's going to happen with tariffs, what's going to happen with the Big Beautiful Bill and things of that nature. But I think we're starting to either get some clarity on that or people are just starting to say, hey, we got to keep moving on with our lives and taking care of business much as they have done over the past 5, 6 years despite numerous uncertainties. And at some point, particularly the small businesses that we deal with, they just have to keep on keeping on. And so I think you're seeing a little bit of that little resolution of whatever the external circumstances are, we're going to continue to do our thing internally. And I think you're feeling a little bit of positive momentum across our markets as we round up the year and move into 2026. So I don't see anybody at the table have any different opinion or is that...
Gregory Robertson: I have to agree with that.
David R. Melville: I think you're also starting to see other banks be a little more aggressive, and that's one reason for the or competition on the loan yield side is that they're feeling the need and opportunity to get out there and do some things. And we've tried to be fairly consistent in how we operate in the past couple of years and not get too hot, not get too light is kind of down the middle of the road. And I think here are some other banks that maybe shut down a little more, but then are now starting back up. And they're obviously seeing some of that same positive sentiment that we're seeing. And it's exciting. We want to -- we're here to do business. So excited about the industry being in the same mindset.
Manuel Antonio Navas: I appreciate that commentary. I just wanted to switch to fees for a moment. I definitely heard the confidence in the Smith Shellnut Wilson team. The Smith factor this quarter was that pass-through loss. What are the lines you have like kind of more near-term composite that can kind of just build across the back half of the year, getting more looking at the fee income line specifically?
David R. Melville: Yes. There are 2 ones to really take hold leave been -- or beginning to take hold or the SBA loan service providing. We do that through Waterstone out of Houston and I think we're definitely seeing they've, I believe, added 4 bank clients over the past quarter in addition to seeing our internal participation in SBA origination growing. Again, not a huge needle mover yet but I think moving in the right direction to be so in the future. And so I'm excited about that. And I don't -- regardless of the political lens, I think there's I think if you were to try to list the governmental programs that have the most bipartisan support. I think SBA has to be up there near the top of the list. So we've we feel like that opportunity will only grow over time, and we're excited about that. We're also seeing quite a bit of momentum in the derivatives business that we have serving our clients and other bank clients by offering interest rate swaps as a way to tailor their pricing on their loans. And we're starting to see more and more wins come through the celebration channel. I don't know what the right word is for it. But as we talk about what we're doing, I'm seeing a greater pace of swap victories. And I think that says our bankers become more comfortable with it, they can help our clients be more comfortable with it and make sure that we're offering it when it makes sense. But we haven't -- we've only just now begun offering that to other banks. We've been -- what we like to do is for a lot of these noninterest -- or excuse me, fee income sources of income. The goal relates to provide it to our own clients. Make sure that we're comfortable in doing so and then offer it to clients. And each of our partnerships, we pick on, whether that be SSW or a Waterstone or now the derivatives business, we have begun by partnering with folks that could serve our own clients and then we branch out and try to offer that to community bank clients and it's only just begun doing that with the derivatives business. And so we look forward to some opportunities, particularly again in '26, '27, picking up there. But the pace of which I'm hearing of victories is increasing and gives us confidence that those would be a couple of areas that we can count on being additive to our earnings over the next couple of years. Greg, do you want to mention anything else?
Gregory Robertson: No, I think you touched on Waterstone in the beginning. I think our from our February 1 acquisition last year, we've increased the number of banks that they do busy with, and that's -- because they are -- they work on prequalification underwriting packaging post- closing servicing all the way to if you have a problem loan, they help the dialogue with the SBA. That is a valuable tool for these banks that they're doing business with, and that is approaching doubling since we've taken over. So I think that we're excited about that with a very robust pipeline for the back half of '25 for them. So very comfortable with that and excited about it.
David R. Melville: And I think over time, we'll look to add some of these product capabilities. You know there are correspondent banks who do a really good job for these banks, but there aren't a lot of corresponding banks that offer some of these slightly more complicated, sophisticated products. And we believe that's a role that we can serve. So we'll continue, particularly that some of the governmental lending stuff is are areas that we want to look for further opportunity in.
Operator: Thank you. There are no further questions. I'll now turn the call back over to Jude for closing remarks.
David R. Melville: Okay. Good. Well, again, I appreciate everybody joining us today, and it seems like a pretty positive in earnings season for us as a bank. And then for the community banking industry as a whole. So starting to see that positivity and hope to continue building on it. Banking is -- it's a lot about just consistent incremental improvement pruning out quarter-to-quarter and then being prepared for opportunity. And I think we've done a good job of that, particularly over the past couple of years, incremental improvement and then when an opportunity for an Oakwood partnership or for a Progressive partnership comes up, we're prepared to take it on from a capital standpoint and from an institutional knowledge standpoint and now from a technological standpoint, and we'll continue to make those investments and be focused on the little things, which add up to big things over time. So I appreciate your support, and hopefully, we'll talk to you all again in about 3 months. Take care.
Operator: The meeting has now concluded. Thank you all for joining. You may now disconnect.